Operator: Good afternoon, ladies and gentlemen, and welcome to Eni's 2013 Interim Update and the Second Quarter Results Conference Call, hosted by Paolo Scaroni, Chief Executive Officer; and Massimo Mondazzi, Chief Financial Officer. [Operator Instructions] I am now handing you over to your hosts to begin today's conference.
Paolo Scaroni: Good afternoon, ladies and gentlemen, and welcome to our interim update and second quarter results. In the first half of 2013, our Italian and European operations performed poorly, affected by a weak market context across the board. Meanwhile, our upstream activity performed well, but suffered from nontechnical production shut-ins in Libya and Nigeria. While these issues have impacted first half results, our underlying business has made strong strategic progress. Six start ups for 2013, including Kashagan, are on track. We have closed major gasoline negotiations, and we are continuing the restructuring of our downstream businesses. On the corporate front, this has been an excellent first half. Our disposal program has unlocked a further EUR 5.9 billion of value, including the recently completed transaction in CNPC. Let's take a closer look at the first half starting from upstream. The 2 key issues are Libya and Nigeria. In Libya, the security issues in Q1 and other disruptions in Q2 cost us around 20,000 boe per day in the first 6 months of the year. The situation in the country remains volatile, and we cannot exclude further disruptions in the second half. Meanwhile, in the rest of North Africa, operations are only marginally affected by continuing unrest. Although the ramp-up of our Algerian project has been slower than expected. The major concern is, however, Nigeria, where in the first half we lost around 30,000 boe per day from a combination of flooding, bunkering and sabotage. Production losses were even higher in July as a result of the LNG blockade, although this issue has now been resolved. Turning now to the economic crisis, which is impacting European and Italian operation. This continued to worsen. Gas consumption in Italy fell by 11% in Q2, driven by a near 30% decline in gas demand for power generation. Decline in electricity consumption and competition from coal, renewables and hydro, meaning that gas demand for power generation is now 49% lower than in Q2 2008. With regards to refined products, in the first quarter of 2013, we saw a further 7% contraction in Italian demand, bringing the total decline since 2008 to 26%, adding further pressure to structure our refining overcapacity in the Mediterranean. And in chemicals, demand continued to be depressed, in particular in the elastomers segment, which was hit by lower sales to the tire industry. In the stock market context, we made robust progress on our long-term objectives of growth and profitability. In E&P, we've already achieved 6 out of the 8 key start-ups we announced in our strategy in March. Kashagan is on track, and we can confirm production of at least 75,000 boe per day by the end of September. Altogether, new projects are performing well. Start-ups and ramp-ups contributed an additional 90,000 boe per day to Q2 production, offsetting the impact of the Karachaganak and Galp disposals, the disruptions in Libya and Nigeria and the heavier maintenance activities. And we expect their contribution to grow in the second half, bringing the overall additional equity production to 120,000 boe per day for the full year. With regards to our longer-term prospects, exploration continues to deliver strong results. To date, in 2013, we've made 11 oil well discoveries for almost 1 billion boe of new resources, with major oil finds in Ghana, Pakistan, Egypt, continued success in Mozambique and as you've seen today, Congo. With regards to Mozambique, we are starting the results of our tenth well, which looks to be a play opener for the South of the block. In the rest of the year, we will drill promising prospects in Norway, Australia, Vietnam and the Gulf of Mexico. At the same time, to fight the strong headwinds in Europe and Italy, we are taking more incisive actions in our meet in balancing activities. In Gas & Power, we have closed good renegotiations with 2 major suppliers, Gazprom and Sonatrach. We are determined to secure further significant cuts to supply prices through outstanding price reviews with GasTerra and Statoil. With regards to GasTerra, we made some progress, but we cannot exclude arbitration proceedings. With regards to Statoil, we believe that we have no alternative to arbitration, and we have accordingly opened the proceeding. In refining and chemicals, we are restructuring our footprint. On top of the announced closure and reconversions, such as the Priolo factory scheduled for this summer and the Venice refinery, which we will be shut down in September, we have announced the additional closure of gasoline and polyethylene lines at our Gela plant. This brings the total cap in Eni's refining capacity to 5 million tonnes and the total reduction in Eni's polyethylene capacity to 23%. Turning now to capital allocation. We continue to make excellent progress in streamlining our asset base, our lock-in value and strengthening our balance sheet. The EUR 5.9 billion of assets saved so far this year brings total disposal benefits secured since June 2012 to over EUR 24 billion. This has driven a substantial improvement in our financial position. Adjusting Q2 net debt for the proceeds from the Mozambique disposal, it is EUR 13 billion, less than half the EUR 27 billion we had in June 2012. In what remains a volatile context, the strength in balance sheet is a key pillar of our strategy to create value, investing in high-returns growth opportunities generated by our exploration success. I will now hand you over to Massimo for a review of our financial results.
Massimo Mondazzi: Thank you, Paolo. Good afternoon. In the second quarter of 2013, the market environment was negative for all relevant parameters. The average data Brent price was $102.4 a barrel, down 9% versus last quarter and down 5% year-on-year. The Brent/Ural refining margin weakened to $3.8 per barrel, representing a fall of 13% versus last quarter and a fall of 40% year-on-year. In second quarter, euro averaged $1.31, this represented a depreciation of 1% against U.S. dollar versus the previous quarter and an appreciation year-on-year of 2%. In the second quarter of 2013, adjusted operating profit was EUR 1.95 billion, down 51% when excluding Snam's contribution to continuing operations in the second quarter of 2012. The decline reflected the significant losses incurred by Engineering & Construction due to a revision of profitability estimate on some large contracts. Excluding the Engineering & Construction in profit, Eni's operating profit would have declined by 27.2%. Adjusted net profit was EUR 0.58 billion, down 55% when excluding Snam's contribution to continuing operation in the second quarter of 2012. The decline was due to a lower operating performance and higher group tax rate, which rose to 91.2% or almost 30 percentage points higher than a year ago. The Increase was almost exclusively due to the absence of tax shield before the cite in losses with a residual effect due to higher contribution of profit before income taxes from E&P, which is subject to a larger fiscal take than the other businesses. We now expect our full year tax rate to be around 66%. Excluding the effect of certain guidance revision, it is current with our previous expectation of the range of 63%, 64%. Turning to E&P. In the second quarter of 2013, Eni's liquid and gas production of 1,640,000 boe per day was broadly in line with the second quarter of 2012 for the reason outlined by Paolo. Exploration & Production reported an adjusted operating profit of EUR 3,409 million, down by 19.6% year-on-year. This was driven in roughly equal parts by the worsening scenario on one hand, and by lower oil production, increased OpEx and weakening on the other. And now, Gas & Power. In the second quarter of 2013, gas has declined by 6% to 18.4 billion cubic meter from the second quarter of 2012 or 3.4%, excluding the impact of gas divestment. Against the backdrop of the ongoing downturn in demand and intensified competitive pressure, Eni's sales in Italy were broadly stable at 6.5 billion cubic meter, while international gas sales were down by 9% to 11.9 billion cubic meter. In the second quarter of 2013, the Gas & Power division reported an adjusted operating loss of EUR 436 million, a deterioration of EUR 35 million compared to second quarter of 2012. The Marketing business reported an adjusted operating losses of EUR 457 million, an improvement from before under the EUR 94 million loss in Q2 of 2012. The effect of the worsening competitive environment were offset by the renegotiation of gas supply contract with retroactive effects to the beginning of the year. As you may recall, a number of our Gas & Power activities are not consolidated in EBITDA. Income from these associates in the second quarter amounted to EUR 56 million compared to EUR 81 million in the second quarter of '12. This reflects the impact of the gas of the Galp disposal and reduce Union Fenosa Gas profitability from the shut-in in Damietta. And now, R&M. In the second quarter of 2013, Refining & Marketing reported an adjusted operating loss of EUR 174 million, increasing by EUR 32 million or 22.5% from the second quarter of '12. The performance reflected in the lower refining margins, impacted by the narrowing price differentials between light and then the crude, and the weak demand for refined products. The negative trading environment was partially counteracted by efficiency gain of EUR 32 million compared to second quarter '12. This related to reduced energy costs, plant optimizations and lower throughputs at less competitive refineries. Marketing results declined, driven by lower sales related to declining demand for fuels and mounting competitive pressures. Asking for the other businesses. Versalis losses amounted to EUR 82 million, EUR 57 million worse than the second quarter last year. But you should take into consideration that in the second quarter 2012, Versalis benefited from a relatively favorable environment owing to the rapid and temporary decline in feed stock costs. Overall in the first half of this year, Versalis results show an improvement of EUR 49 million or 25% as a result of the stronger scenario from steam crackers, efficiency gain of EUR 14 million and higher revenues from licensing activities. In June, in construction segment, as we commented on previously, and the combined other activities and corporate results improved by EUR 28 million. Commenting now on the overall debt evolution, net debts generated this quarter by operating activities and disposal amounted to EUR 4.4 billion. It was made up of EUR 2 billion from operating activities and EUR 2.4 billion from divestments, mainly the disposals of Snam and Galp. Capital expenditure amounted to EUR 2.8 billion, mainly related to continuing development of oil and gas reserves and exploration projects. Overall, investment in the first half of the year, included both technical and financial, total EUR 6.3 billion, and we reconfirmed for the full year of 2013 that CapEx growth's in line with 2012. Dividends were paid in the quarter for EUR 2.2 billion. As a result, net financial debt remained broadly stable as compared to first quarter. Following the close of the quarter, we have received EUR 3.5 billion of cash from the sale of 20% of Mozambique Area 4. This will support and improve net and leverage of year end 2013 compared to year end 2012 of our scenario of $104 barrel Brent for the full year. And now, I'll hand you over to Paolo for the final remarks.
Paolo Scaroni: Thank you, Massimo. Looking forward to the rest of year. In E&P, taking cost performance in terms of start-ups and ramp-ups, is in line with our previous guidance of 3% growth and $90 a barrel. However, Libya and Nigeria remain key uncertainties. On the assumption, the Nigerian and Libyan production remains at the low levels experienced in the first half production and current oil prices will be broadly in line with last year. For Gas & Power, we confirm our expectation of a further significant cut in gas supply prices. Although where revisions are not closed before year end, the benefits related to 2013 will be deferred to future periods. In any case, as a result of the renegotiation we've already closed, we expect no further take-or-pay prepayments this year. In R&M, we expect weak market conditions to continue, largely offset by the benefits of cost cuts and capacity closures. In Versalis, results will improve, supported by the shutdown of unprofitable capacity. We are determined to bring these 2 businesses to profit, and should the scenario prove more negative, we'll launch additional measures. Looking ahead, we expect the second half to be significantly better than the first, driven by production growth from start-ups and ramp-ups and more incisive actions to face the deteriorating market environment in Europe. We will continue to reward shareholders with a sustainable, progressive dividend, and we'll evaluate the activation of a buyback in Q3. Thank you for your attention. Massimo and I, plus the heads of our main business units, will now be pleased to take your questions.
Operator: [Operator Instructions] First question comes from Mr. Theepan Jothilingam from Nomura International.
Theepan Jothilingam - Nomura Securities Co. Ltd., Research Division: Three, please. Firstly, just on the balance sheet. I just want to talk about your discussions with credit rating agencies. Is there perhaps a target gearing level that you want to reach? And does that sort of impact how and when you activate buyback? And secondly, just in the upstream, 2 questions. Just on Kashagan. Could you again sort of remind us where we are in the commissioning process? What you've budgeted, and when exactly you plan for the second train to come on stream, perhaps next year? And then thirdly, a sort of very important discovery in the Congo. Again, could you talk perhaps about the P10 upside case? And also, any follow-up prospectivity.
Paolo Scaroni: Very good. Massimo will answer your first question and Claudio, the second 2.
Massimo Mondazzi: Okay. So as far as the rating agencies. As you know, the only change that happened recently is being the change in the Italian ratings led by Standard & Poor's that didn't affect the rating of Eni. So for the first time, it is retaining 3 notches up the Italian government. And the other discussions together with Standard & Poor's is about the qualification of Eni as a government-related entity. So what we are -- we'd like to explain to Standard $ Poor's that Eni now is running on its own axis and is betting on its balance sheet without any stronger, I would say, effect from the government. And as you -- you've made reference to the buyback, seasonally speaking, our balance sheet now is very strong, but we didn't enter into any specific discussion with Standard & Poor's about this specific issue that, I guess, was not under the spotlight for this time.
Claudio Descalzi: So Kashagan first. Kashagan is on track with the recent guidance. The project is progressing well. In which case it would be, I mean, 75,000 barrel per day by the end of September and around 180,000 barrels per day by the first part of 2014. And by the beginning on 2015, to reach 370,000 barrels per day. Just in summary, this technical situation of the project. The onshore facilities have been completed. The 2 trains on shore have been handed over to production. We finalized all the manual oil tests, so we are ready to receive the first oil. The A-island, which will provide initial production, has already been handed over to operation and is ready for production. And on D-island, the train 1 is completed, that has been pressurized with sweet gas since 13 of July, and we're finalizing the known commission for the rest of the facility process and utilities. We think that, by the end of August, we can start the production and reach, by the end of September, the capacity. For the train 2, I think that you ask about when the train 2 can start production. It will be in the first quarter of 2014, but that is following our schedule and program. For Congo, Congo is a very important discovery in the pre-salt. I think that it is the most important pre-salt discovery in the offshore of Congo in the block 12. And we have, at the moment, drilled 2 wells. And at this stage, as we said, we have found about 600 million barrel of oil, good -- very good oil, 33 degree and a very good discovery. It is also -- from a production point of view, it would be a good wealth. We have to continue the appraisal for these blocks, the menu is many, but also on another block where we are drilling other wells, oil wells in a block called Mer Tres Profonde. So I think that the potentiality of this area will increase. And I think by September, we will be ready also to issue the results of the changing well.
Operator: Next question comes from Mr. Clint Oswald from Sanford Bernstein.
Oswald Clint - Sanford C. Bernstein & Co., LLC., Research Division: Maybe a question on Nigeria. Given the issues and actually given what Royal Dutch [ph] Shell has activated this morning with a portfolio reduce, is there something there? Is Eni considering something similar, or is something you might think about going forward? And then secondly, just on Gas & Power with your comments there about supply prices being deferred, but no take-or-pay payments. Can you talk about your confidence about this business potentially turning positive in terms of earnings contribution in 2014?
Paolo Scaroni: Okay. Let me say a few words about our Nigerian position, and then I will hand it over to Marco about the prospects of Gas & Power. Now we have been in Nigeria for the last 50 years. We have been living through the Biafra war, so for us, Nigeria is really a legacy country. Now of course, we are quite worried of what happens in Nigeria and we expect, frankly, that the situation will not improve dramatically in the next few months. We are reviewing our position for the time being. Our decision is certainly to try to be more offshore and less onshore in Nigeria. With the acquisition of block 245, it should read that this intention of ours to decrease the impact of our onshore activities as compared to our total activities in Nigeria. Now in terms of disposals. Well, to dispose of onshore activities today in Nigeria is not exactly the easiest thing to do. That's our impression. Marco?
Marco Alverà: Okay. Thank you. So on the Gas business. As Paolo said, we are satisfied with the Gazprom and Sonatrach agreements, which we consider complementary because the Gazprom agreement addresses prices and the Sonatrach agreement addresses volumes. And the Sonatrach agreement is the one that allows us to, essentially for this year, stop incurring take-or-pay prepayments. So that's on the volume front. And through these negotiations, we've been able to offset the very weak trading environment we're in this year. It's particularly weak on the gas fired power generation. There could be some one-off impacts due to the very high hydropower generation, and we believe that overall coal and renewables are squeezing gas demand. In 2014, though we are not giving any guidance for 2014, we expect there should be more positive impacts from further supply discussions ongoing with GasTerra. The prices are continuing to align themselves to northern European and to hub prices across Europe. Also on the regulated tariff, there will be in alignment to hubs in Italy. So there should be a pricing pressure in 2014 compared to 2013. Although, on the supply side, we expect the benefits to continue to come. As we've said, at the beginning of the year, we expect there to be a new round of pricing discussions as these discussions have a retroactive observation period to fully capture the deterioration we've really seen since the last summer. We need to do a new round of negotiations, which will probably involve a part of 2014 and 2015. As regards to the arbitration, we expect that to last. I would start to at around 18 months.
Paolo Scaroni: Even if during the arbitration, it is possible to continue our negotiation.
Marco Alverà: Absolutely.
Operator: Next question comes from Ms. Lydia Rainforth from Barclays.
Lydia Rainforth - Barclays Capital, Research Division: If I could just ask around Saipem, and how's the -- I know that we've seen in last -- for the 6 months, a change. Your view on that investment there. And then secondly, if I could just come back to North Africa and both Libya and Egypt, is there anything that you can do within Libya to try and limit or more -- anything more that you can do that will limit the downtime there? And just any sort of comments what you're seeing on Egypt for the moment?
Paolo Scaroni: Okay. Let me answer something about Saipem just to update you on our strategic thinking. And then I would try to give you some answer about North Africa, maybe Claudio will help me on that. Now on Saipem, essentially we have 2 objectives. Now the first is to support the company whatever way is needed, easily recover profitability, financial solidity and reputation. The second is to try to unwind the contradiction in our relationship with Saipem, a company that we consolidate, but we do not control and we don't want to control. Of course, these objectives do not necessarily go together at all times. However, while we are keen to protect any shareholders from risks that are not under our control, you should bear in mind that the relationship is a contradiction that we have been living with for almost 30 years. So it's nothing really new. We prefer to create value for Eni and for Saipem shareholders than to rush into a quick fix of this problem. Therefore, we continue to evaluate our strategic option with regard to our Saipem holding, and we'd, of course, inform the market as a whole in the proper way as and when any decision is taken. Now moving to North Africa. Now you should bear in mind that we are the major player in North Africa, from North Africa. In North Africa, we produce almost 30% of our hydrocarbons and therefore, for us, it's certainly a very important part of our business. So far, so far, we have not had any major production problems neither in Egypt nor in Algeria. The only country, which we have been suffering in terms of production, is Libya. We continue to keep a certain optimism about the outcome of the situation both in Egypt and in Libya, while we regard Algeria as a solid country from which we should not expect in the short term any major problem. I don't know if you want to add something, Claudio, on this.
Claudio Descalzi: For Libya, as you know, in the first half, we lost an average of 18,000 barrels per day, 20,000 barrels per day. What we have experienced in Libya, we don't have any problem with the terminals. And in that our 2 terminals, one is offshore that is Guri and the other is in Aleta [ph] are in good shape. We have just some interruption of our production in our fields. The situation is recovering. Also, if in July, I have to highlight that we are suffering some big losses. We are following the situation. We are traveling to Libya every week. We are going to visit our fields. But what remark that all the institution, all the state company and the institution are really focused to recolor the situation as soon as possible. So we are, as Paolo said, we are confident about the future.
Operator: Next question -- sorry, comes from Mr. Iain Reid from Jefferies.
Iain Reid - Jefferies LLC, Research Division: Just a question on Mozambique, whether you can update us on the status of the development of the unitization with Area 1. What do you think at the moment about the LNG developments? And maybe you can also say something about this play-opener well you were talking about. I think it's in the liquids focused region of the block towards the South.
Paolo Scaroni: Okay. Claudio would update you.
Claudio Descalzi: So in terms of exploration, or starting from exploration, I think we are very happy about the new result because it's a new play, precautious play. So completely segregated and far from Mamba complex. We are going to announce the results, I'm hoping, in the couple of weeks, and so I don't want to anticipate anything. But there are 5 developments. So exploration is continuing. We already drilled 10 wells. And we're going to produce well, we are going to drill an additional authorized in the Mamba complex, and we'll finish the exploration. We'll take a break for some months. On the development side, coal operation and working with the Anadarko are going very, very well in terms of LNG, in terms of development, in terms of unitization. So we don't see any problem, or big argument in terms of that. We are together in all the discussions also with the state company and with the government, and that gave us a big push, a big help in progressing on the development. We are still -- we have the target to have the -- if we ever decide in 2014, in the second half of 2014 for the LNG and is now for the plan and development of the unitized area. So everything is on track, and the things are moving in a positive way.
Iain Reid - Jefferies LLC, Research Division: Okay. Just a follow-up. Is it too early to give us a rough idea of what the total CapEx could be?
Claudio Descalzi: So I think we can confirm with the level CapEx we said a few months ago that we'll be financing next year during the extension project. But we talk about $35 billion, $40 billion for the first 2 plus 2 trains, so 4 trains to develop 24 TCF of gas.
Operator: Next question comes from Mr. Jon Rigby from UBS.
Jon Rigby - UBS Investment Bank, Research Division: Two questions. The first is you mentioned, Paolo, that you're going to look at the potential for share buybacks in the second half of the year. Can I just ask whether an active consideration was made of whether you would start right away? Just simply because you have a unique insight into sort of strategic progress that you're making, and clearly, you can see where the share price is right now. So there was an opportunity, or a certain opportunity, I guess, to arbitrage those 2. And use capital appropriately and it's a great signaling device, clearly. The second question is just from a downstream. As I understand, if I think there are 3 main events in the second half of the year that are important. I think you mentioned 2. Just Gela and Venice closures. And I think given the EST's big conversion unit is starting up in the second half. I wondered is it possible to estimate or get some indication of what those 3 effects would have had on your earnings in the first half of the year if they have been in effect in the first half of the year, just to get some idea about the momentum, say, the second half in the downstream?
Paolo Scaroni: Okay. Now the second question requires a little calculation, but I'm not sure will be able to give you right away. But certainly, with the very weak demand, the closure of Venice will have had a positive effect. And also, Gela both for the refining and the former Versalis would've been positive. Now if you want some number, I might ask Camilla to give you a more detailed information, which I don't have right now. Now in terms of share buyback. We're of course, this is -- has to be a notable process because it is not me taking the decision. I have to bring it to my board. And I'd clarify with my board, probably in September to make a proposal. Now I have to tell you from my point of view, I'm very keen to start a buyback. As I think of shareholder values will through to contain the overall dividend payment, while maintaining a progressive dividend policy. Now this is the purpose of the share buyback. We have not yet been aligning the different elements of this decision, which we will do in the next few weeks because I'm going to present it in September to my board. But I maintain the fact that I'm certainly keen to have, in the future years, a plan of share buyback active to contain the total dividend payment.
Jon Rigby - UBS Investment Bank, Research Division: Right. I mean, just to come back on that. I mean, also, presumably, will the any kind of affirmation from the rest of the board that's used to start it will leave you with some flexibility over that following 12 months to decide, how and when and what you do?
Paolo Scaroni: Yes. I'm planning to ask for a flexible decision, which will really include timing, amount, price at which I would be making the share buyback. So this would be left to me and to Massimo to decide. We have also to propose, which we have not done so far, an algorithm, which we'll be using to buy back those shares. So we are still a little behind in this process. But in September, we will conclude the whole process.
Operator: Your next question comes from Mr. Jason Kenney from Santander.
Jason Kenney - Grupo Santander, Research Division: Sorry if you've already discussed some of this. I joined the call a bit late unfortunately. So just following up on the Congo. Is it too early to think of a development scenario there or a start-up timing for that particular find? And then secondly, on effective tax guidance. Could you just maybe walk around the moving parts of the impacts of the very high effective tax rate in the second quarter, of course. Where do you think that might play out for the rest of the year?
Paolo Scaroni: While we have already said something about Congo, but not exactly with question. Maybe Claudio can add something.
Claudio Descalzi: Yes, I know. I think it's quite early to talk about the future development because currently we discover 2 structure. One, the structure that we announced today and there's other up rise well in progress in the area. So we prefer to have a free idea about the clear potentiality of this area before starting the appraisal. For sure, it will be a project that will go beyond this full year plan. But we have to say also that we are in a very shallow water. We are -- these blocks are 15 kilometers from the coast, in a very good area and I'll have to agree with them -- So one way will be to gather all the data, so we can conduct a really fast-track development.
Paolo Scaroni: Yes, so I think we can rate Congo as a near field discovery in some way.
Claudio Descalzi: It's a good hub. It's a good hub, say, that, that is sort of doing good sort of say. A unique hub that we have to rethink in terms of development.
Paolo Scaroni: Okay. Massimo?
Massimo Mondazzi: Okay. So you're right. As we've already said, we experienced a very high tax rate in the second quarter amounting to 91.2%. The great majority of this increase is due to the Saipem review of its results. So if you strip out these parts, and the tax rate will be in the range we already announced during our strategy in March. So I can confirm that the overall tax rate we expect for the full year would be in the range of 66%. Again, on the full year, if you strip the Saipem effect out, we'll maybe come back to the range we gave at that time. It was between 63% and 64%.
Operator: Next question comes from Mr. Nitin Sharma from JPMorgan.
Nitin Sharma - JP Morgan Chase & Co, Research Division: 2 quick questions, please. First one, you've discovered close to $1 billion of resources in H1. Could you maybe give us some more color on this, i.e. how much of this is Mozambique and how much is x Mozambique coming from other areas? And -- sorry, one more on buyback. Guidance of Q3, potential start-up of buyback in Q3, does the weakness in Saipem share price has any implications on your decision whether you can start a buyback or not?
Paolo Scaroni: Let me start. Let me answer the second question, and the I will ask Claudio to answer the first. The second question, the quick answer is no. Whatever is the share price of Saipem does not really have a major impact on our balance sheet. Besides, the share price of Saipem has been recovering quite a lot recently. And just as a reminder, just for you as a reminder. In 2009, the share price of Saipem was as low as EUR 9. So the EUR 16 of today, well, it is some progress as compared to 2009 at least. But Claudio, will do the second one.
Claudio Descalzi: Yes. So on the story of the exploration for the first half last month. On July, we have 60% of the resources discovered in Mozambique and the rest in other discovery like Congo or Ghana or Egypt or Pakistan. So we can also say that 40% is oil and 60% is gas. So that is more or less the data about this first half exploration results.
Operator: Next question comes from Mr. della Vigna Michele from Goldman Sachs.
Michele della Vigna - Goldman Sachs Group Inc., Research Division: I would like to ask 2 questions. The first one is about demand for oil and gas in Italy. The first half was clearly very weak. I was wondering what kind you're getting from the July data point in terms of whether there is any recovery or stabilization in demand. And the second one is about your Gas & Power business. I was wondering if you could give us a guidance for EBIT for this year in view of the possibility that the Statoil and GasTerra renegotiations do not happen this year.
Paolo Scaroni: Let me answer the first question, and we'll hand it over to Marco. No, unfortunately not. The market in Italy continues to be extremely weak, while in the rest of Europe it's just weak. So we do not see any sign of improvement neither in gas nor in petroleum products. In particular, petroleum products in July have been minus 7% as compared to July 2012, which was not exactly a very good month. So as you can see, the situation continues to be extremely difficult.
Marco Alverà: I would say, Michelle, that picking up on what Paolo said on oil & gas, July is also weak. We're now forecasting about 70, 7-0 bcm for the whole of it, so the for 2013. Regarding the guidance, as we said, it's early to predict the outcome of the GasTerra discussion, which is ongoing, and that will determine very much what parts of the 2013 EBIT we can actually put into the 2013 year-end results. And I would say the same applies to Statoil. Of course, the arbitration decision of Statoil comes with that uncertainty. As Paolo mentioned, we can't close sooner than the 18 months. But certainly, a deferral of the closures of those 2 negotiations will mean that we'll have to wait to recover those profits as they close. Overall, I think, excluding these deferrals, we confirm the guidance we gave at the beginning of the year, which, as you remember, was to close in line with last year, excluding one-offs, which would bring last year's results at somewhere around minus 200. I don’t know if that's clear.
Michele della Vigna - Goldman Sachs Group Inc., Research Division: Sorry, going back to that. So the minus 200 would be if Statoil and GasTerra were to successfully close this year, right? [ph]
Marco Alverà: Yes, which is what we said at the beginning of the year. That was the same guidance we're sticking to.
Michele della Vigna - Goldman Sachs Group Inc., Research Division: Okay. And you couldn't quantify how much those 2 renegotiations could be worth on the year?
Marco Alverà: No.
Operator: Next question comes from Ms. Irene Himona from Société Générale.
Irene Himona - Societe Generale Cross Asset Research: I have firstly a question on production guidance. I know you reduced today the guidance for this year to flat effectively because of Libya and Nigeria. Thinking about the start of year presentation guidance, I was under the impression that the 4-year plan already included a contingency. And I thought a contingency is meant to capture events such as Libya and Nigeria. So I wonder how we can sort of reconcile the 2. My second question concerns cash flow inside. And I've seen, in the second quarter, you had EUR 448 million cash release from working capital. I think Saipem had a EUR 1 billion cash incur in working capital. Would you look -- just thinking about Saipem, would you look at their Q2 working capital move as perhaps an indication of that all the kitchen sinking has happened and EBIT margins for them should improve going forwards?
Paolo Scaroni: Let me try to answer precisely to your first question, then Claudio might help me on that. Now the guidance was 1,740,000 barrels a day on an oil price of $90. This was the previous guidance. Today, we stay roughly in line with last year, which means around 1.7 million barrel at today's scenario of $104, more or less. This is per liter. This assumption assumes that Libya and Nigeria will perform in the second half at the same level than the first half, where it was a level not particularly satisfactory. But we do not foresee a worsening of the situation neither in Libya nor in Nigeria. This is where we stand today. And now, part of this difference between 1,740,000 and 1.7 million, which is the guidance we gave today, is scenario. Part of this is Libya and Nigeria continuing to perform worse than expected. And part of this has been eating some of the reserves of the provisions of the contingency that we were having at the beginning of the year. I don't know if you want to add anything, Claudio.
Claudio Descalzi: As you said, the only -- we cannot that the contingency that we put at the beginning of the year has been spent or slightly slowdown of the MLE. So especially Algeria, and Porto and the Angola LNG that has a very slow ramp-up. Angola LNG for technical reasons and in Algeria because of the security issue that we experienced at the very beginning of the year. So that is the reason. It's clear that Libya and Nigeria are something that we didn't consider in the contingencies, something that is really force majeure as the 2012 force majeure and the extraordinary event.
Massimo Mondazzi: Your prospect is right. We had an advantage from the working capital movement in Saipem in the second quarter amounting to around EUR 1 billion, that's EUR 700 defer for to the first half. Our expectations that this advantage will be partially observed by the end of the year. So in line with the guidance of Saipem, we see had at the beginning of the year. So working capital we monitor as far as 2013 with the recovery beginning of 2014. And exactly the same guideline can be applied to Eni. So Eni benefited from this advantage from Saipem in the second quarter, and the advantage has been amplified in some way by the reduction -- the seasonal reduction of inventories from Gas & Power. But at the same time, we suffered the increase in the commercial credits. So all in all, we had a small advantage around EUR 0.5 billion as far as the second quarter. But again, the expectation for the full year would be especially neutral as far as the working capital.
Irene Himona - Societe Generale Cross Asset Research: Thank you. And would you look at Saipem as pretty much being at the bottom? And are you also looking for a recovery in their margins going forwards?
Paolo Scaroni: We have the same information you have.
Operator: Next question comes from Mr. Mark Bloomfield from Deutsche Bank.
Mark A. Bloomfield - Deutsche Bank AG, Research Division: I have 2 questions, please. First, going back to gas profitability in Italy and the pricing pressure on your sales. Can you perhaps indicate roughly what proportion of your Italian volumes are being sold on spot or spot-linked terms today, ideally split between industry, power and residential? And maybe give some sense of how you expect that percentage to evolve over the... [Audio Gap] And second question, could you perhaps update on the Goliat project, particularly when you expect that to start up and what the current proceedings and critical cross items are over the next 12 months?
Marco Alverà: So on the first point. In Italy, I would say we still have in our current sales price some of the older contracts that had some oil indexation. Basically, 100% of the contracts we are signing or have indexed, both for industry and for power. Regarding residential, it's a regulated tariff that will move to 100% hub indexation as of the last quarter of this year. And so in 2014, excluding some of the older contracts that are going to expire, we don't have a lot of long-term sales in the Italian market. And the Italian market tends to have a 1-year time horizon as opposed to 2 or 3 that we'd see in Northern Europe in terms of length of industrial contracts. So I'd say, it's fair to assume that we have, in 2013, some oil indexation that will disappear and is disappearing as we move in to 2014.
Paolo Scaroni: So in Goliat, we started the drill activities in October 2012 and that is in progress, progressing well. The throw line -- the throw line divider have been already installed and that is so construction in the yard in Coral is in progress. We foresee a fall way in second quarter 2014 and we schedule the construction and the production in the third quarter 2014.
Operator: Next question comes from Mr. Alastair Syme from Citi.
Alastair Roderick Syme - Citigroup Inc, Research Division: Another question on gas actually. Given what you've seen over the last couple of years, the sort of gradual convergence between spot and contract again in Europe, I just wonder how that changes the dynamics of the renegotiation talks. And does the seller say "It doesn't really matter now. Contract versus spot, we'll sell you either," or will we not go to that point yet?
Marco Alverà: I would answer that. It is helping. As the Italian market becomes more liquid and the PSV becomes more liquid, it will, over time, become a reference for sales and for the long-term purchases as is happening in other European countries. As these renegotiations look backward, they still include periods of time when our sales mix had oil indexation in it. So that's why it will take more than 1 round to get to a full hub-based pricing system. So yes, indeed, it is helping. But we're not able to fully reflect what's going on because of the time lag in the contract under retroactive -- the backward looking nature of the observation period.
Alastair Roderick Syme - Citigroup Inc, Research Division: Does, sort of, on a scaled market [ph] do you, therefore, get much benefit if you were to renegotiate?
Marco Alverà: Yes, I think the discounts we've achieved with Gazprom is a result of that convergence and that alignment.
Operator: No more question at the moment. [Operator Instructions] After long, I confirm there are no more questions.
Camilla Palladino: Great. Thank you very much. So the conference call is over. If you've got any further questions, please get in touch with us on the Investor Relations number.
Operator: Ladies and gentlemen, the conference is over. Thank you for calling Eni.